Operator: Greetings. At this time, I would like to welcome everyone to the Barings BDC, Inc. conference call for the quarter ended June 30, 2021. [Operator Instructions] Today's call is being recorded, and a replay will be available approximately 2 hours after the conclusion of the call on the company's website at www.baringsbdc.com, under the Investor Relations section.
 Please note that this call may contain forward-looking statements that include statements regarding the company's goals, beliefs, strategies, future operating results and cash flows. Although the company believes these statements are reasonable, actual results could differ materially from those projected in forward-looking statements. These statements are based on various underlying assumptions and are subject to numerous uncertainties and risks including those disclosed under the sections titled Risk Factors in forward-looking statements in the company's annual report on Form 10-K for the fiscal year ended December 31, 2020, and quarterly report from Form 10-Q for the quarter ended June 30, 2021. Each as filed with the Securities and Exchange Commission. Barings BDC undertakes no obligation to update or revise any forward-looking statement unless required by law.
 At this time, I would like to turn the call over to Eric Lloyd, Chief Executive Officer of Barings BDC. 
Eric Lloyd: Thank you, Brock, and good morning, everyone. We appreciate you joining us for today's call. Please note that throughout today's call, we'll be referring to our second quarter 2021 earnings presentation that is posted on the Investor Relations section of our website.  
 On the call today, I'm joined by Barings BDC's President and Barings Co-Head of Global Private Finance, Ian Fowler; Bryan High, Barings Head of U.S. Special Situations and Co-Portfolio Manager; and the BDC's Chief Financial Officer, Jonathan Bock. Before Ian and John review details of our portfolio and second quarter results, I'll begin with some high-level comments about the quarter.  
 Based on the strengthening market trends globally and in the middle market, the second quarter remained very active.  Increased deployments along with continued strong portfolio performance helped drive the stable earnings profile and dividend increase we will outline today. 
 Let's begin with the market backdrop shown on Slide 5 of the presentation. The near-term trends we outlined on our last call generally continued into the second quarter with elevated broadly syndicated loan prices and rising BDC equity prices. In several cases, select BDCs traded at or above their pre-COVID highs, and the competitive market for direct lending assets continues to drive BDC net asset values and valuation premiums higher.  
 Barings BDC's performance neared the strong industry results with highlights summarized on Slide 6 of the presentation. Net asset value per share increased 2.2% in the quarter or $0.25 per share to $11.39, with the increase driven by improved portfolio marks on portfolio investments and net investment income, again exceeding our dividend. Our net investment income remained stable at $0.22 per share, aided by interest income associated with new deployments as well as an increase in accelerated OID from repayments.  
 Additionally, the underlying stability of our net investment income is further enhanced by our incentive fee structure as our earnings continue to exceed our 8% hurdle rate and remain in the investment catch-up. As a result of these trends, our Board elected to increase our third quarter dividend to $0.21 per share or a 7.4% yield on our net asset value of $11.39.  
 Regarding new investments, we had originations of $264 million in the second quarter. This was offset by a $242 million of sales and prepayments, $156 million of which were sold to the JV. Recall, our original origination guidance has held consistent since Barings became the manager 3 years ago and that we would generally expect to see gross deployments of around $100 million per quarter, subject to market conditions.  
 Our investment portfolio continued to perform well in the second quarter and remains valued above our original cost. We had no nonaccrual assets at the end of the second quarter. Slide 7 outlines summary financial highlights for the quarter. In the second quarter, investment portfolio stability as well as increased investment activity and associated OID acceleration continue to drive total investment income and net investment income higher, both on an absolute and on a per share basis. 
 Net unrealized depreciation was also strong at $14.4 million as a result of mark-to-market improvements across most debt and equity investments. Net leverage, which is our leverage net of cash, short-term investments and unsettled transactions, was stable at 1.14x and remain well within our target range of 0.9x to 1.25x.  
 While we're proud of our past accomplishments, I want to reiterate my excitement for Barings BDC in the quarters ahead. We remain a leader in our core markets with an extremely wide investment frame of reference that allows us to be selective when competitive market forces increase. Additionally, the stability offered by our incentive fee structure further provides earnings cushion against unforeseen events as our earnings power exceeds the 8% hurdle rate. Recall, a decline in earnings caused by nonaccrual loans or refinancing assets at lower yields would first result in a lower incentive fee insulating investors from those negative trends. I'll now turn the call over to Ian to provide an update on the market and our investment portfolio. 
Ian Fowler: Thanks, Eric, and good morning, everyone. If you turn to Slide 9, you can see additional details on the investment activity that Eric mentioned. Net new middle market investments totaled $26 million with gross fundings of $241 million, partially offset by sales and repayments of $215 million. New middle-market investments included 21 new platform investments totaling $187 million and $54 million of follow-on investments and delayed draw term loan fundings.  
 We also had $24 million of new cross-platform investments in the quarter. We continue to believe portfolio prepayments will remain elevated across the market, and in the second quarter, Barings BDC began to see a slight increase in prepayments, along with the associated fee income acceleration. Of our $242 million in sales and prepayments, $66 million was associated with full repayments this quarter, $20 million was from partial paydowns and the remaining $156 million was sales to our joint venture. As we outlined last quarter, joint venture sales enabled us to increase portfolio diversification while maintaining a prudent leverage profile at Barings BDC.   
 Slide 10 updates the data we show you each quarter on middle market spreads across the capital structure. We saw continued tightening in the second quarter across the board. The single-B liquid spreads remain inside middle market levels, putting further pressure on middle market spreads. This broad market competition is evidenced in unitranche transactions relative to first lien and second lien loan executions.  
 Turning to Slide 11. Traditionally unitranche executions provide a level of premium pricing when compared to a first lien, second lien structures as a one-stop financing solution provides private equity sponsors with ease of execution. Today, the spread differential between a unitranche transaction and a traditional first lien, second lien execution is approaching all-time tights. 
 Furthermore, first lien pricing is tightening at both the upper and lower ends of the middle market. A bridge of our investment portfolio from March 31 to June 30 is shown on Slide 12. Both realized and unrealized and appreciation drove an increase in portfolio value with roughly $4 million of appreciation associated with increased values of MVC investments.  
 A breakdown of the key components of our investment portfolio at June 30 is on Slide 13. As we have discussed in the past, the goal of this slide is to provide details on the 3 key components of our portfolio, which are now middle market portfolio, the legacy MVC Capital portfolio and our cross-platform investments. The middle market portfolio remains our core focus and makes up to 75% of our portfolio in terms of total investments and commitments and 69% of our portfolio in terms of revenue contribution. 
 This portfolio is comprised of 124 portfolio companies with geographic diversification across the U.S., Europe and Asia Pacific regions. Underlying yields on our middle market investment portfolio of 6.6 remain reflective of our boring is beautiful approach to credit and this serves us well in periods of potential market froth. 
 For our middle market portfolio, weighted average first lien leverage was 5.1x, a slight improvement from what we reported last quarter. In addition to our middle market exposure, we continue to draw upon Baring's wide investment frame of reference and complement our core portfolio with 16 investments in the legacy MVC Capital portfolio and 23 cross-platform investments, which have yields at fair value of 13.5% and 8.2%, respectively.  
 We had no nonaccrual investments at quarter end and no material modifications to the cash payment terms of our debt investments. Our total investment portfolio, excluding short-term investments, is now made up of 78% first lien assets, generally consistent with the 81% at the end of the first quarter. Slide 14 provides a further breakdown of the portfolio from a seniority perspective. 
 The core Baring's originated portfolio which makes up 89% of our funded investments is 87% first lien. This is down from 91% last quarter, driven by further investments in our joint ventures that continue to enhance portfolio diversification. The MVC portfolio is comprised primarily of equity, second lien and mezzanine debt investments, which brings the first lien component of the total portfolio down to 78%.  
 With regard to the MVC assets, we continue to drive towards the exit of noncore, lower-yielding equity investments and increasing core earnings by redeploying this capital into higher-yielding assets. Our top 10 investments are shown on Slide 15. Our largest investment is 3.1% of the total portfolio and the top 10 investments represent 19.1% of the total portfolio. The 2 largest investments were acquired as part of the MVC Capital transaction.  
 Remember that these investments are supported by the credit support agreement in place with Barings LLC, thus reducing potential downside risk. The overall portfolio remains diverse from an industry perspective as well with 163 investments spread across 29 industries.  
 I'll summarize by saying that while both the market and portfolio company performance have remained strong, there are often periods in the middle market where increased confidence drives complacency. With capital inflows into the leveraged loan asset classes nearing all-time highs and default in loss levels approaching lows, it becomes easy to assume the buoyant credit markets will last indefinitely. They never do. 
 Active portfolio management and staying ahead of issues remain vitally important in a compressing spread environment. And in my years of experience, the best mitigant to an elevated competitive market dynamic is increased choice among portfolio, company and asset class. Given the depth and breadth of the Barings platform across many private asset classes, we remain confident in our ability to deploy capital at attractive rates of return and strong risk profiles.  
 I'll now turn the call over to John to provide additional color on our financial results. 
Jonathan Bock: Thanks, Ian. Turning to Slide 17. Here's the full bridge of the $0.25 increase in NAV per share to $11.39 as of June 30. Our net investment income outpaced our dividend by $0.02 per share. Net realized gains on our investment portfolio and foreign currency transactions drove an increase of $0.01 per share and net unrealized depreciation on our investment portfolio, foreign currency transactions and credit support agreement drove an increase of $0.22 per share. Additional details on this net unrealized appreciation are shown on Slide 18.  
 The $0.22 per share of net unrealized appreciation, which equates to approximately $14 million, included appreciation of approximately $4.2 million on our current middle market investment portfolio. This appreciation is further broken down by $4.2 million from lower spreads in the broader market for middle-market debt investments and $1 million from improved credit across the portfolio. Now that appreciation was offset by $1 million of depreciation attributable to the impact of the stronger dollar on our middle market investments held in foreign currencies.  
 Our cross-platform investments saw total appreciation of approximately $3.6 million, while the legacy MVC portfolio saw a total net appreciation of $4.3 million. This net appreciation for the legacy MVC portfolio was primarily driven by 2 equity positions that have improved post COVID. Near the bottom of Slide 18, you can see the credit support agreement with Barings had unrealized appreciation of $2.3 million in the quarter.  
 Slides 19 and 20 show our income statement and balance sheets for the last 5 quarters. Now as we've discussed, our net investment income per share remained steady at $0.22 for the quarter driven by a $2.6 million increase in total investment income, higher interest income as well as an increase in accelerated OID on repayments drove that increase. The increase in total investment income was partially offset by higher interest and financing fees which rose as the result of the increased borrowing levels as well as the higher interest costs associated with the full quarter of our February unsecured debt issuances. And the second quarter also saw the payment of an incentive fee to the manager as pre-incentive fee net investment income exceeded our 8% hurdle rate.  
 Now from a balance sheet perspective on Slide 20, total debt to equity was 1.4x at June 30, although this level is artificially high given the timing of certain asset sales and was 1.14x debt to equity after adjusting for cash, cash equivalents and unsettled transactions.  
 Turn to Slide 21. You can see how our funding mix ties to our asset mix, both in terms of seniority and asset class. Compared to the end of 2020, our reliance on senior debts decreased as well as we have continued to diversify our balance sheet to match our diverse portfolio of assets. Details on each of our borrowings are shown on Slide 22, which shows the evolution of our debt profile for over the last 3-plus quarters.  
 We continue to have an additional commitment to raise up to $25 million of unsecured debt and have available borrowing capacity under our $800 million senior secured credit facility. Jumping to Slide 23. You can see the potential impact of this -- of using this available liquidity on our net leverage, including the impact of funding our unused capital commitments. Barings BDC currently has $125 million of delayed draw term loan commitments to our portfolio companies as well as $39.5 million of remaining commitments to our joint venture investments.  
 This table shows how we have the available capacity to meet the entirety of these commitments if called upon, while maintaining cushion against our regulatory leverage limit. Slide 24 updates our paid and announced dividends since Barings took over as the adviser to the BDC. As Eric mentioned, we announced yesterday that our third quarter 2021 dividend will be $0.21 per share, an increase of $0.01 per share compared to the second quarter.  
 Turn with me now to Slide 26, which shows a graphical depiction of relative value across the BBB, BB and B asset classes. We continue to study this concept to evaluate relative value opportunities that can exist for investors at different levels of credit risk and also remind ourselves how the value of choice across markets provides a meaningful benefit to BDC investors. This translates into the actual results shown on Slide 27, which outlined the premium spread R&R investments in the quarter relative to liquid credit benchmarks as we seek attractive illiquidity and complexity premium spread. Barings BDC deployed $264 million at an all-in spread of 811 basis points, which represented a 383 basis point spread premium to comparable liquid market indices at the same risk profile.  
 Diving deeper into our core middle market segment across Europe and North America, we averaged a 373 basis points spread relative to liquid market indices. For cross-platform investments, the spread relative to liquid market indices was even greater at 700 basis points. We continue to believe our ability to invest across platforms and generate excess shareholder return via illiquidity and complexity premiums is a key differentiator for Barings BDC in this upcoming cycle.  
 And I'll wrap up our prepared remarks with Slide 28. And this summarizes our new investment activity so far during the third quarter of 2021 and our investment pipeline. The pace of new investments remain steady compared to the last 2 quarters, and we had approximately $186 million of new commitments, of which $150 million have been closed and funded. Of these new commitments, 36% are in first lien senior secured loans and 63% are in cross-platform with 18% also in European or Asia Pacific originations. The weighted average origination margin or DM-3 was 7.5%, and we also funded approximately $18 million of previously committed delayed draw term loans. The current Barings Global Private Finance investment pipeline is approximately $2.1 billion on a probability-weighted basis and is predominantly weighted towards first lien senior secured investments.  
 As a reminder, this pipeline is estimated based on our expected closing rates for all deals in our pipeline. One specific highlight I'd like to call to your attention to is Barings BDC's purchase of an equity stake in Eclipse Business Capital formerly Encina Business Credit, a market-leading capital solutions provider focused primarily on asset-based loans. On July 8, Barings BDC, along with MassMutual and other affiliated funds, Barings BDC invested approximately $89 million in common and preferred equity and expect to receive a quarterly dividend distribution on its investment.  
 This investment provides strategic benefit to Barings BDC investors for a few reasons. First, it offers investment expertise in and exposure to an attractive vertical in levered finance, non-ABL lending -- nonbank ABL lending, which continues to benefit from increased and sustained commercial bank regulation. Second, this investment and this asset class for that matter, offers attractive and often positively asymmetric risk-adjusted returns. Our target distribution on the $89 million investment is expected to meet and exceed Barings BDC's long-term dividend distribution target of 8% on net asset value.  
 And finally, this investment further enhances Barings BDC's already very wide frame of investment reference, which we believe is the key to navigating the competitive markets. And so with that, operator and Brock, we will gladly open the line for questions. 
Operator: [Operator Instructions] Our first question today is from Kyle Joseph of Jefferies. 
Kyle Joseph: Congratulations on another good quarter. Jon Bock probably started off here actually where you ended. Exciting announcement on the ABL lender acquisition. Can you just walk us through how you see that impacting BBDC's P&L, specifically kind of revenue allocation. Are we going to see kind of heightened dividends going forward? 
Jonathan Bock: So Kyle, yes, what we've outlined, and then I think it might be good to just give an overall view of the asset class to our partner, Bryan High is that you can expect from a revenue perspective for additional income to flow in, right, as this is a cash flow yielding equity in terms of distribution. But we also want to exercise some conservatism in how we think about distributions, right? The goal here is to have a cash payment that matches our dividend distribution for BBDC. But as Bryan will outline, the levered returns on strong ABL lending franchises can exceed that amount. So we're positively inclined to see revenue continue to grow, right, absent everything remaining the same across the rest of the investment portfolio. It's a strategic investment for us. And then perhaps it would be worthwhile to get a sense from Bryan, as it relates to the leverage returns and the type of lending that takes place. Bryan? 
Bryan High: Sure. As Jon mentioned earlier, we view Eclipse's loan portfolio to have an attractive risk profile where they're lending at a discount to the hard asset value of the underlying portfolio companies. 
 And when you couple that strong risk profile with a combination of their attractive financing at the Eclipse level and the underlying loan portfolio having fees and spreads consistent with a nonbank financing solution, so not your typical ABL that you would see from a commercial bank. The ROE and dividend to the equity holders there can be very attractive, and as Jon outlined in the slide, 8% plus expectations to the underlying shareholders. 
Kyle Joseph: Got it. Very helpful. One follow-up for me. I know you guys mentioned that prepayments picked up. But I mean, going through the slides, it really looks like the majority of sales or repayments in the quarter were kind of instigated by you guys? How have you been able to manage prepayment activity in what seems like a relatively hot market? 
Ian Fowler: Jon, do you want me to me to step in. 
Jonathan Bock: Yes, that's actually perfect. Yes, I'll say from the sales standpoint, right, you caught it right there, the mass majority of the sales and repayments were sales to the joint venture, which are primarily just a function of us enhancing diversification. And so for the prepayment question, go straight to Ian on the prepayments on the portfolio. 
Ian Fowler: Yes. So Kyle, basically, as you look at a market, especially a market that we're in right now, where we're now, I think, in the third quarter of significant volume and activity in this as we've indicated, a lot of capital has come into the market, more capital than ever. 
 Obviously, the market gets incredibly frothy and also underlying all of that, we have a change in the administration and probably a lot of people thinking about potential tax changes occurring on the horizon. And that's a catalyst to activity. And so when we look at prepayments today, unlike early in my career when a lot of it was moving when sponsors exit deals have moved into IPOs or sale to strategics, most of the prepayments are going to other sponsors. 
 So it's a sponsor-to-sponsor LBO. And so we have a lot of strategies around retaining good assets, connecting with management teams so that we can at least have their input in the sale process that they'd like us to continue to be their agent. And so as long as the -- we like the sponsor and we underwrite the sponsor and we're okay financing that deal for the new sponsor, and we're comfortable with the terms and the documentation and structure. We're going to do everything we can to retain that asset. And that's a really key strategy in a market like this. 
Operator: The next question is from Robert Dodd of Raymond James. 
Robert Dodd: First, on the competitive environment, on Slide 11. When we look at the EBITDA range where the compression, as you mentioned, spreads have been compressing. But when we look at the 20% to 29% range, which is solidly your target range and your average EBITDA, spreads actually widened slightly this quarter versus last quarter, which obviously goes kind of comfort of what we're seeing broadly in the market. 
 I mean can you give us any comment on why that's happening in kind of your core market? Is it just defensively more protected because of the EBITDA range that you're kind of targeting? Or any color on how that market is kind of spreadwise outperforming the others. 
Ian Fowler: Yes. So great question, Robert. And look, I mean, this is something that's actually been in place for a while. It's one of the reasons from a relative value perspective. We like this segment of the middle market. I mean the problem with the lower end of the middle market is there's just so many players in that space. Everyone is trying to put money to work. And so when you look at spread compression at that lower end, it just gets insane because of so many players in that market just trying to put money out the door. 
 I think on the larger end, what you see is -- and again, people that we typically compete with, do move up market, I would say the people that in the middle of the middle market that we compete with aren't really doing the low end of the middle market, right? So it's really more middle and up.
 And I think a lot of those platforms, again, are very focused because they've raised so much capital to put as much money out the door as possible. And so they're kind of moving up market. And we're starting to see the broadly syndicated market do some interesting things recently with this compliance. So compliance transaction that was a deep unitranche with delayed draw term loan attached to it. And so that market has just gotten really crazy competitive. 
 And so you're seeing just way more compression on the upper end of the middle market. The middle of the middle market, not to say that people don't want to do deals in that market, but that's where we really focus all of our energy and try to create that beachhead there. 
 And you've got to be able to go in and write check sizes of $300 million to $400 million to play in that space. And that our ability to do that really kind of blocks the lower end. And again, on the upper end, I think a lot of those shops are looking to put more dollars out the door. 
Robert Dodd: Then one more, if I can. I mean when we look at Jocassee, Thompson Rivers, now Eclipse, I would presume Eclipse is a nonqualified asset, but I might be wrong on that. I mean you've still got a lot of room potentially in the nonqualified bucket is what it looks like to me, but correct me if I'm wrong. 
 I mean, any other -- I mean, obviously, Eclipse is a great addition, ABL, different from other areas of the market, diversifying sources of income, I mean all good things. I mean in the other areas you're looking at that could potentially take advantage of the nonqualified bucket even more? 
Jonathan Bock: I'd say right now, you're seeing kind of the use of our wide frame of reference as a great complement to Ian and our European counterparts strategy in the middle of the middle market. No really targeted plans to do anything different. When the options are presented to us, we will execute on them. 
 But Robert, if you think of the breakout, we provide a pretty wide diversification already across a number of asset classes where Barings as well as our parent have a high degree of expertise hence we're very comfortable with where we sit today. It doesn't mean that new one can't come across. But at this moment in time, we feel the asset mix here is attractive to navigate what we believe to be an increasingly competitive marketplace. 
Operator: The next question is from Casey Alexander of Compass Point. 
Casey Alexander: Can you discuss the credit history of the Eclipse? 
Jonathan Bock: So long term, I'll give some overall views, but it would be realized losses sub-15 basis points. That's going to be emblematic of the asset class that went in, Casey, simply because when you're lending inside of net orderly liquidation value, you can find that there's quite a bit of margin to protect yourself in the event that a forced liquidation needs to occur to receive your principal back. But very superlative. And also a demonstration of the team that we've partnered with here at Encina now rebranded Eclipse as a fantastic addition and long-time investor in asset-based lending. 
Casey Alexander: Is there a pocket of business industries that they specialize in, a lot of these ABLs are retail heavy. Where does Eclipse fit in terms of the profile of the people they lend to? 
Jonathan Bock: I'd argue that, Casey, it's broad. It'd be broad that you would expect from a team that's also had a strong pedigree in commercial banking, but there can be certain pockets of expertise, whether it's going to be e-commerce or retail or some heavy more, what we call, heavier industries that require a distinct or a certain amount of capital. It runs the gamut as you'd expect anyone inside ABL to do to have a wide swath of expertise. But those 2 industries stick out in my mind, and you'd find that asset-based loans, right, depending on kind of how commercial banks are approaching various industries, et cetera, can kind of ebb and flow and create additional pockets of industry exposure. 
Operator: Next question is from Finian O'Shea of Wells Fargo. 
Finian O'Shea: A question on the sell-downs of the JV. I think you mentioned $150 million or so. Yes, can you describe if that was like a new origination or your prevailing credit book? And then sort of what was the thinking on that? 
Jonathan Bock: Yes. Fin, so primarily new origination. And remember, we always think about our partners in the joint venture. We're here to complement diversification versus the use of other joint ventures in the BDC space to just heavily lever assets to drive return and distribution, right? 
 So the refresher is this BDC -- this joint venture is not designed to solve the yield problem at the BDC. It's designed to enhance diversification to other asset classes that we at Barings have expertise in. And so primarily, you can see the transfers down to the joint venture are our European loans, right, which are considered nonqualified on our -- on the BDC balance sheet and there is an interest just given our strength of lending in Europe for those assets to be owned in the joint venture. 
 So that's the primary kind of, I'd say, impetus behind the transfers. It's new originations, right, because we always believe that it's more important instead of having one loan for $20 million on the BDC balance sheet, it's better to have 2 with $10 million and you can continue to see that occurring. But again, JV is here, it's about diversification, and that's our focus as opposed to effectively enhancing yield as biggest one can to solve a yield problem at the BDC. 
Finian O'Shea: Okay. That's helpful. And then can you talk a bit -- there's some language on consumer finance, unsecured consumer finance in the Waccamaw vehicle. Can you describe that strategy? 
Jonathan Bock: Yes. Sure. So these are going to be small allocations. But again, our focus on the wide frame of reference kind of benefits from Barings LLC's very, very wide and our parent's very, very wide investment frame of reference. So in certain segments you'll find that there is unique access to consumer deal flow, certainly not in large amounts, and you can see that the Waccamaw joint venture itself is relatively small and also has attracted third-party capital. 
 But our focus would be on certain categories where our frame of reference allows us to invest alongside a number of origination units that are accessing niche areas of the market. And in some cases, it can be tied to vocational school style lending, right, as it relates to coding schools or there are areas where certainly there are very low loss rates and very attractive investments. 
 And that can be driven just by the fact that our funnel, right, in Baring's relationships with a number of originators, both commercial and consumer is very, very attractive given what we offer them and how they want to partner with us. 
 So short answer, it's also a small investment, but our focus here is, again, making sure that we have a particularly wide frame because both consumer and commercial risk can work together provided that you don't over accentuate or overemphasize one or another. 
Operator: There are no additional questions at this time. I would like to turn the call back to Eric Lloyd for closing remarks. 
Eric Lloyd: I just want to thank everybody for joining in. I know it's a busy time and for many people here on the phone it's early Friday morning. 
 So I just hope everybody is staying healthy out there and staying positive and look forward to seeing everybody hopefully in the near future. So everybody, take care of yourself, and thanks for dialing in. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.